Operator: Ladies and gentlemen, good morning, good afternoon, good evening, and welcome to the Infosys fourth quarter earnings conference call. As a reminder, all participants' lines will be in a listen-only mode for the duration of this presentation. There will be an opportunity for you to ask questions at the end of today’s opening remarks. (Operator instructions) Please note that this conference is being recorded. I would now like to hand the conference over to Mr. Sandeep Mahindroo of Infosys Technologies Limited. Thank you, and over to you, Mr. Mahindroo.
Sandeep Mahindroo: Thanks Hershelle. Good morning everyone, and welcome to this call to discuss Infosys’ financial results for the quarter and year ended March 31st, 2010. I am Sandeep from the Investor Relations team in New York. Joining us today on this earnings call from Bangalore is our management team. We will start the proceedings with a brief statement on the performance of the company for the recently concluded quarter, followed by the outlook for the quarter ending June 2010 and year ending March 2011. Subsequently, we will open up the call for Q&A. Before I pass it on to the management team, I would like to remind you that anything which we say which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A full statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I would now like to pass it on to Mr. S. D. Shibulal.
S. D. Shibulal: Good morning everyone. This is Shibulal. I am waiting for Kris and Bala who will be joining us shortly. In the meanwhile, I will give you an overview, and I am hoping that before the Q&A starts, both Kris and Bala will be here to give their remarks. This has been an excellent quarter for us. We have exceeded the higher end of our guidance. Our guidance for the quarter was $1.24 billion to $1.25 billion. In constant currency terms, it is $1.231 billion to $1.241 billion. Revenue for the quarter is $1.296 billion. So, we have exceeded the upper end of the guidance. Revenue increased sequentially by 5.2%, and in constant currency terms, it increased by 6.1%. The volume increase also is 5.2% sequentially. The offshore volume increased by 5.3%. Pricing has declined during this quarter, 1.5% blended; utilization has gone up, of course because the demand has picked up. So, what we are seeing in the market is that most of our clients have closed their budgets. Their budgets are flat or marginally up. At the same time, majority of our clients are clear that their spend in offshore will go up through the year. We are seeing increased velocity in decision making. We are seeing the start of discretionary spend. Our clients, their business priorities continue to in two areas. One is fulfilling the demands for their clients, second is to manage costs. To align with that, the IT departments are also focused on investments, which are relevant for the future of our clients, at the same time, managing costs. On the margin front, during the quarter, the margin has decreased by 100 basis points as per IFRS. The last quarter margin, that is the Q3 margin was 31.1%, Q4 is 30.1%. Effective tax rate has come down in Q4 to 21.6% versus 22.6% in Q3. On the employee side, we have added 9,300 people this quarter as against a planned addition of 6,000 that was the original plan. The net addition is close to 4,000 people. For the year, we started out the year by a plan of adding 18,000 people for the year. We have added 27,000 people as of right now. During the guidance, we have said that we will be adding 30,000 people next year. Our EPS including exceptional items was $0.61 for this quarter. This is as against the guidance of $0.56. If you exclude the exceptional items, the Q4 EPS was $0.59, which is better than the guidance which we gave. The pricing environment as I said remains stable. We are not seeing too many pricing renegotiations. There are sporadic renegotiations which are going on, but that we consider as part of our regular business. As far as the business environment goes, the global economic environment remains challenging. There are still fundamentals, which are yet to correct. Unemployment rate and other issues are being on the minds of our clients, but the business is – the clients, our clients are starting to invest in their growth and looking at ways to emerge stronger when the downturn is over. And we are seeing that in terms of discretionary spend. Our revenue from the transformational space, which is consulting, enterprise solutions, system integration has gone up this quarter from 23% last quarter to 26% this quarter. As I mentioned, as far as the budgets are concerned, most of the budgets are closed, flat or marginally up. Offshore outsourcing continues to be a strong theme in the budgets. Q4 was an excellent quarter for us as far as client additions are concerned. We have added 47 new clients. This is roughly the highest over the last many quarters. Our Top 25 clients grew by 7.5%, and the remaining clients grew by 3.4%. Number of million-dollar clients have gone up to 338, 26 clients give us more than $50 million in the LTM basis right now. So, overall, the performance has been very good. We started out the year by giving a guidance of negative 2.5% to 3% growth. We have completed the year with a growth of 3% positive. Given the year, given the situation, we believe, this is an excellent performance. Today, we have about 126 Fortune 500 clients. So, with that, actually Kris is here, and with that now, let me hand it over to Kris to add additional remarks and probably I can come back to give you a color on the operational highlights.
S. Gopalakrishnan: Thanks Shibu, and good morning, good afternoon, good evening to everyone. I feel sorry, I am a little late, you know, one of those days where we are rushing from one meeting to another meeting, or one interview to another interview. Overall, when you look at the year, I think the bottom line is we have emerged stronger out of this downturn, growth is back. Our customers, our clients are trusting Infosys to help them build a better future for their organizations, they are investing into the relationship, they are growing with Infosys. We have been able to continue to recruit, we have been able to continue to build capacity and capability, new solutions, new IT and things like that. We have managed to, you know, go through a year where the Rupee appreciation is almost 6% and still we have been able to sustain our margins. In fact, our margins have improved by about, operating margins improved by about 90 basis points from the beginning of the year, and without sacrificing the future, without sacrificing growth. So, clearly, we have shown that the model is resilient, the model is a strong model for the future, for the company. We began the year with about 3% to 7% decline in revenues and we ended with 3% increase in revenues. And growth actually helps manage the business better, manage the growth better, manage margins better, and we have again proved that this year also. Our guidance is for 16% to 18% growth for next year. Because of the appreciation of Rupee, because of compensation increase etcetera, we are looking at EPS growth of 5.3% to 9.6%, excluding the extraordinary items. And we have again demonstrated that we have the capacity to grow, we have the bench to grow, if opportunity presents, we can grab that and grow faster. So, we will continue to focus on building the capacity, building the capability, building the resilience, building the solutions, the services, the relationships, the employee base, and we will be able to sustain what has made this company successful till now. Now, let me hand it over to Shibu to continue his discussion on the details on the numbers.
S. D. Shibulal: Thank you Kris. Just to give you a color on the numbers, our consulting and package implementation revenue went up this quarter. This is a reflection of the discretionary spend from our clients. 23.3% last quarter versus 26% in this quarter. We are also seeing good traction in the infrastructure management space and the system integration space. As a percentage of revenue, application development and maintenance has come down this quarter. Fixed price is marginally up. Europe up from last quarter by about 0.6%. This is in line with our investment, we are investing in Continental Europe. The growth in Europe is mostly in the Continent. We have now two country heads in Europe, one for France and one for Germany. We are hoping that our investments in the Continental Europe will further allow us to expand and grow our business in Europe. Almost all verticals have shown good growth other than telecom. Telecom as a percentage has come down, and this is more related to a single client rather than an industry-wide phenomenon. If I remove that one client, the rest of the clients have grown this quarter. As I mentioned, our revenue productivity has decreased this quarter by 1.5% and for the year by 4%. This is a tailwind effect of the pricing renegotiations we did over the last 18 months. For the guidance purposes, we have assumed revenue productivity to be flat or the pricing to be flat for the coming year. Total number of employees is 113,000. Our utilization is in a healthy area, 77%. We are quite comfortable with high-70s, low-80s. So, I have covered most of it. Now, let me hand it over to Bala for the financial highlights.
V. Balakrishnan: Good morning everybody. This quarter has been an extremely good quarter. We are done $1,296 million of revenues, which is 5.2% growth. In constant currency, more than 6% growth. Volumes grew by 5.2%, pricing came down by 1.5% on a blended basis. In constant currency terms, pricing came down by 0.7%. So, if you take the full year, the volume grew by 6.7% and pricing declined by 4%. If you remember, in the beginning of the year, we said that revenues could decline somewhere between 3% to 7%, we actually grown the revenues by 3%. We said that pricing could decline by around 5%, the actual decline is only 4%. We also said the operating margin could decline by 300 basis points, but when we completed the year, the operating margin actually went up by 100 basis points. In the current quarter, the currency momentum has been drastic. We have seen around 1.5% appreciation in the Rupee, which impacted the margin by close to 1%. That is an impact on operating margin we see in the current quarter. We had some exceptional revenue this quarter. We sold our investment in OnMobile Systems, Inc. We liquidated around 60% of our holdings, because as a financial investment, we felt it’s the right time to encash that investment. We have balance 40%, which we will encash whenever the liquidity opportunity emerges. On a tax front, our effective tax rate is 21% for the full year. In the current quarter, we have two significant impact on the tax front. One is the reversal of provision we made for the (inaudible) because the clarification has come in the current budget before the Parliament. So, we reversed around $69 million, which pertains to previous year. And we also set up the deferred tax liability for the branch office, which we have outside India in our overseas branches, because we believe there is the branch profit liability, which could get triggered, and we have set up a deferred tax liability of $52 million. Net-net, the effective tax rate for the full year is around 21%. We have given a guidance of $0.56 on EPS, we have done $0.61. Excluding the income from OnMobile, the sale of investments, it is $0.59, similar to what we have seen in the last quarter. For the next year, we are giving a guidance of 16% to 18% growth in dollar terms, around 5.3% to 9.6% growth in earnings per share, excluding the one-time investment gain we got in fiscal 2010. So, we are assuming the pricing to remain stable, so we have not assumed any change in pricing for next year. We are assuming an addition of 30,000 employees next year. We announced a wage hike effective April 1st. On an average, offshore wages could go up by around 14%, onsite by around 2% to 3%. It will have an impact on the margins in the first quarter, but over the year, when more people join, the pyramid effect will make sure the impact of wages is minimized on the margins. We assumed a Rupee/Dollar rate of 44.50 for the next full year, which means, and Rupee appreciation of around 6.2%, because average Rupee/Dollar rate in fiscal 2010 is 47.43. So, the currency will have an impact of around 250 basis points on the margins. We will have the wage increases, which could impact the margins by around 3%. Of course, the utilization could go up, and then we have the other levers on the cost side. So, net-net, the operating margin for next year could decline around 1.5%, that is factored in the guidance. The impact would be more in the first quarter than the full impact of wage increase is felt on the margins, but for the full year, the decline is only 150 basis points. We are ending the year with $3.5 billion of cash. Our accounts receivable is 59 days. It is one of the best in the industry. We have hardly 4% of our account receivables more than 60 days. So, net-net, we have done well this year. This is one of the toughest year, because the economic environment was against us, currency volatility was very high, and in spite of all the starts, we delivered good numbers, we held on to our margins, and we believe next year, given a realistic guidance based on what we see in the market at this point of time and hopefully the growth comes better than what we expected, then we will have more leverage on the margin front. Thank you. Now, I can open the floor for questions.
Operator: (Operator instructions) And our first question is from the line of Joseph Foresi of Janney Montgomery Scott. Please go ahead. Mr. Foresi, your line has been unmated, if you have a question, please go ahead now. We have –
S. Gopalakrishnan: Can we move to the next one?
Operator: Sure, we will move on to the next question. The next question is from the line of Mr. Rod Bourgeois of Bernstein. Please go ahead. Mr. Bourgeois, your line has been unmated. Please go ahead with your question. Sir, may we move on to the next question? There seems to be no response from this line either.
S. Gopalakrishnan: Yes.
Operator: The next question is from the line of Ed Caso. Please go ahead. I apologize, the next question is from the line of Moshe Katri of Cowen & Company. Please go ahead.
Moshe Katri – Cowen & Company: Hi, thanks, nice quarter. Bala, can you talk a bit more in details about the delta between revenue growth guidance and EPS growth guidance, maybe go through some of the various moving parts that will be impacting EBIT margins in fiscal year 2011 and maybe kind of quantify the impact for that, you know, per factor? Thanks.
V. Balakrishnan: So, basically, we are talking about revenue growth of 16% to 18%, and EPS growth of 5.3% to 9.6%. This is excluding the one-time gain of $11 million we have seen in fiscal 2010, because of our sale of investments, it’s a one-time event. We are assuming that the margins could decline next year on year-on-year basis by around 150 basis points. One, because we are assuming currency at 44.50, that means Rupee appreciation of 6%, which will have an impact on the margins by around 250 basis points. We have announced wage increases effective April 1st of 14% average in offshore and 2% to 3% onsite, which could impact the margin by around 300 basis points, but over the year, since we are adding 30,000 employees, and most of them will come in the bottom of the pyramid, the pyramid structure will make sure the impact of the wages is not 300 basis points, it will be much, much lesser. And we also assume that the utilization could go up by 2% next year, because we have enough people, all the people who would join the company will be in training, not many will become productive. So, that could positively impact our margins by 100 basis points, and we will have the scale benefits and other cost initiatives, which will come and buffer the margin to make sure the overall impact on the margin is only 150 basis points for next year.
Moshe Katri – Cowen & Company: All right. So, you have enough leverage here to offset, to potentially offset the evolve of currency, but then if revenue growth comes out a bit stronger than expected, you know, the margin compression probably even, you know, becomes a bit more minor, am I correct?
S. Gopalakrishnan: Yes, you are right. If you look at, for example, fiscal 2010, when we started the year, we said revenues could decline by 3% to 7%, and the margins could decline by 300 basis points, but when we ended the year, we had seen revenues growing by 3%, and the margins growing by 100 basis points. So, it’s all in the growth. At the end of the day, growth is the biggest lever we have. If the growth comes better than what we expect, that will help us to minimize some of this impact and make sure the margins are maintained.
Moshe Katri – Cowen & Company: Okay. And then a final question, looking at some of the revenue metrics, you had a pretty significant pickup in package implementation, SI, the more discretionary stuff during the quarter, is that trend, is that based on what you are seeing out there in terms of maybe your pipeline and the conversion rates, should we assume this is a sustainable trend for fiscal year 2011, and then maybe this is also a question for Kris, do you think where you are headed towards a multiyear growth cycle similar to the one experienced by many of the offshore companies from ’03 to ’07? Thanks.
S. D. Shibulal: So, what I mentioned was that, you know, if you look at our aspiration, our aspiration is to increase our revenues from transformation projects. What we call transformation projects are those projects which are business-oriented, which is changing the clients’ business, which is sponsored by the clients’ business where they are willing to give a reference saying that we were part of changing, say fundamentally changing their business processes. Now, those projects usually come through when there is discretionary spend, and today, clients are focusing on building their tomorrow’s enterprise. They are thinking that, you know, when this downturn is over, you know, how do you handle, how do you build the enterprise which will last for the 21st century. And our transformation projects are focused on those areas. Now, you will always have two kinds of revenues. The transformational revenues is transactional in nature, that means they are not annuity-based, they don’t last for the next 20 years. But at the same time, so we need to balance that kind of revenue with the annuity revenue or the long-term revenues. In that space, when you look at the long term of annuity revenue space, we have large deals, large wins. For example, this quarter, we have five different wins, five wins in the large deals space by SGS, our Strategic Global Sourcing group. Two of them are more than $150 million of size. We have growth in the infrastructure management space, we have growth in the independent validation space. Our engineering service, we are hoping that we will grow faster next year. So, after all, at the end of the day, it is a portfolio which we need to manage. Our guidance reflects our viewpoint or our consolidate viewpoint, right. The guidance is the reflection of our consolidated viewpoint.
S. Gopalakrishnan: Moshe, Kris here. Your question about, you know, are we looking at 2003 to 2007, not yet. I strongly believe that, you know the global economy is not completely out of the woods yet, and, you know, we don’t have a bubble economy back, you know, in 2003 to 2007, it was probably a bubble. So, we are not back there. What we are seeing is that even though businesses are cautious, they are investing into building the future as Shibu said. You know, there is only so much you can get out of cost cutting. You have to think about your future, you have to invest in technology, you have to invest in new products, new markets etcetera, and all of that, all of those investments will require technology change and that’s where growth is coming for us right now.
Moshe Katri – Cowen & Company: Thanks.
Operator: Thank you Mr. Katri. Our next question is from the line of George Price of Stifel Nicolaus. Please go ahead.
George Price – Stifel Nicolaus: Hi, thanks very much. Wondered if just I wanted to ask one question about Europe, can you talk about where demand is stronger in Europe and maybe in the context of both the UK and the Continent, and specifically in types of services? For example, if demand is stronger on the Continent in, you know, the more discretionary areas like applications development and systems integration due to restrictions around outsourcing?
B. G. Srinivas: Hello?
George Price – Stifel Nicolaus: Hello?
B. G. Srinivas: This is B. G. Srinivas. With respect to Europe, again there are two parts to it. In the last quarter, we have seen growth coming both from UK and also growth coming from the Continent. The sectors, which have contributed to the growth include manufacturing, to some degree banking and capital markets, primarily coming from the UK, energy utilities, and retail and CPG. These are the sectors which have contributed to growth. Going forward, as I see it, there is a fair degree of stabilization in the client environment, both in Continent and in UK across sectors. The budgets have been finalized, and the IT investment decisions are being taken. Still however, we foresee a delay in the way the large outsourcing programs would happen. So, there will be more short-term projects in the near term, but the traction is across sectors and also the traction has been across the Continent, including Germany, France, Switzerland, and in the UK.
George Price – Stifel Nicolaus: Just unclear on that larger portions, it is more on the short-term project side?
B. G. Srinivas: We are not seeing any difference in the onshore onsite mix or offshore onsite mix with respect to the programs delivered for our clients in Europe. However, in the Continent, it is in some programs, you will require the local capability and to that extent, there is a percentage of local mix in the onsite component, the ratios however remain unaffected.
George Price – Stifel Nicolaus: Okay, okay. Second question, sales and marketing, you know, I think we have talked about the fact that sales and marketing spend for instance has been as a percentage of revenue has been declining over the past several years, and as you come out of the downturn, I am just wondering, is the nature of the demand that you are seeing and the deals that you are seeing, is that supportive of an overall lower sales and marketing spend as a percentage of revenue or do you think, you know, for some reason, this component will need to ramp back up as a percentage of revenue, so you can capture more of the growth?
Subhash Dhar: Hi, this is Subhash Dhar. I will take that question. I think one of the things about sales and marketing expenses going down as a percentage of revenues is probably not so bad, I think it shows some scale benefits that we get as we grow. Having said that, I think there is also various kinds of models floating around in the industry on what you call sales and marketing. We have pure sales and then there is a whole bunch of sales support activities in the company, which we don’t actually classify under sales costs, because they are also part of the delivery capabilities. So, you know, but really to talk about your point on correlation between the percentage of sales and marketing costs to the deal flow, given that our sales model is largely relationship-oriented or relationship-based and that reflects in the repeat business that we get from our clients, most of the selling actually happens at the time of delivery of the project, where we get extensions to the projects, where we get the next project because we did the upstream work very well and so on. So, this is a very different model, this is not a products kind of a model where you go and secure every project independent of what you may have done in the past. So, I don’t know if we have answered your question but there are couple of those points. One is that it’s a relationship-based model and second, there is a whole bunch of sales support activities that we don’t really account for in our sales costs.
George Price – Stifel Nicolaus: Okay, fair enough. Last question if I could, could you talk a little bit more about or talk a little bit about maybe Infosys consulting and where you stand on your efforts in moving up the value chain in consulting services particularly as you are accentuating the rise in the mix of more transformational types of work, where does that business stand and have you had made any changes to, you know, kind of the organizational structure of the Infosys consulting in the product company? Thanks.
Ashok Vemuri: Hi, this is Ashok Vemuri. Let me try and take that question and the parts I heard. You know, our journey on the transformational services on providing business transformation product line is actually progressing fairly robustly. Our consulting business is actually doing pretty well in terms of both the spread that they have, the kind of deals that they are doing. Most of these deals are being done in conjunction with our vertical and horizontal units, and we have seen the traction in the market for transformational deals actually going up, both in our large units like manufacturing or BFSI or in other smaller ones. This is both across the US as well as Europe, we are seeing a good traction, we are seeing, you know, we actually at this point of time, doing a lot more of the strategic work, which will translate into technology work for us as we progress these transactions.
George Price – Stifel Nicolaus: Okay, great. Thank you.
Operator: Thank you, Mr. Price. Our next question is from the line of Joseph Foresi of Janney Montgomery Scott. Please go ahead.
Joseph Foresi – Janney Montgomery Scott: Hi guys. My question here is, we returned, a couple of different questions, but we returned to a sort of a normal budgeting cycle, and should we think of this as more of a, you know, maybe 2000, back to 2000 when the budgets get set, and you know, in the past we had seen sort of the budgets be set and you guys exceed that from your original guidance. I am just wondering how we should think about sort of the budgeting process?
V. Balakrishnan: Well, I think the good news this time is that unlike last year, the budgets did come on time. The process was much more streamlined, very similar to the years in the past. Clearly, the commentary that accompany the budget did indicate to us that the budgets have been locked in, but the disbursements if you will, against those budgets will happen in a short cycle manner. That does indicate to us that even though there may be dollars available, they will continue to be a little bit of caution as the expense in terms of expending those particular dollars. The other thing that’s actually interesting from a BFSI perspective specifically and I have addressed that part as well is that we have seen more of the budgets actually being handed over to the business people, so it’s on the core strategic transformational type of transactions are being led from a technology dollar spend also with the business people. So, I think that’s an interesting thing that we are seeing. But overall, on an average, I would say that the budgets that we are looking at from a quantum perspective have typically been flat to slightly positive.
Joseph Foresi – Janney Montgomery Scott: And you talked about a shorter cycle, what would cause the cycles to return to sort of a normal level? If the market stays stable, does that elongate the spending cycle?
V. Balakrishnan: Yes, that is one, and the second one is based on the tenure of the transactions that they are engaging with, right now, coming out of the recession, they are still in terms of the tenure, short in the six to nine months timeframe, but increasingly, we are seeing the tenure of the transactions of the programs extend to a year, in some cases, two years. And I think whenever there is a value-added strategic transformational deal which is separate from a commodity or run-of-the-mill technology program, we see that they are willing to take on slightly longer tenures, but obviously these transactions are much more complex and the contractual agreements that go with that are also much more sophisticated and complex. So, I guess with the passage of time, as we see a lot more of these transactions come up, there is a little more confidence in wanting to make the spend, decisions get finalized as to what and where the spends will happen, we will see a return back to some of these commitments as it were in the budget expand to more than a short term. So, hopefully medium to long term.
Joseph Foresi – Janney Montgomery Scott: It looks like maybe wage increases came in a little bit higher than what people were expecting. I wonder if you could talk about what you think about sort of a labor market at this particular point in time, what your expectations are for attrition rates maybe going forward, and any thoughts on wage increases that you are seeing out there in the market from some of your competitors?
T. V. Mohandas Pai: Well, I am Mohan. I would look at this as an inflection point for the labor market here offshore, because so far, industry was delivery-driven in the sense that most companies had to build up capacity, the business used to come, the market was growing. From now on, the market is going to be sales-driven, solutions-driven, where you have to go and prove your worth and compete more aggressively, and deliver greater business value. It means that you have to re-architect your entire labor force and come out with a career architecture process, which meets the new needs, and we have exactly done that with the last 18 months and transformed all this. So, our career architecture which was rolled out in October means that we will build deeper domain and technology competence. We will honor people and reward them for being more competent in the domain area rather than having people management skill becoming project managers, we need project managers of course. And that means their ability to go up the ladder and become people managers, will become slower. But at the same time, we have to have a compensation structure, which reflects the value that they add and pay them much better, so they don’t look for a promotion every two or three years just to get a compensation hike, and we have done that in this first quarter by coming out with a compensation plan, which pays an average of 14% in a range of 13% to 17% for up to 54,000 of our people, so that this layer which is the technology layer will see better payment as stick on longer. For the senior people, project managers being 10% because we are at market, and we believe having paid this, we will create a layer of people who will look at getting greater business value, we will make poaching from us much more expensive for the rest of the industry, and we will set new benchmarks, and we will make sure that we transform ourselves. If you set the cat among the pigeons for the competition, because they have to come with organized structure and accelerate the trend towards greater concentration of industry in certain areas. So, when the bottom layer of the pillar, bottom layer of the pyramid gets commoditized because people compete on price, you will be right there in the middle and competing for the top. So, we will vacate space at the bottom, because rates may not be worthy for the next two or three years and deliver greater value. Part of a master strategy, what about, will it reduce attrition? Yes, we believe it will reduce attrition, starting not this quarter, the next quarter, because this quarter people leave for higher studies. Will it set off rates for higher competence in industry, possibly. It means that people who can afford to do things better and have better sales will possibly pay better and I will give us an unfair advantage. What work, compensation hike for next year, too premature to say what will happen, we have to wait and see. But certainly among all companies, with this comp hike, we are very well placed.
Joseph Foresi – Janney Montgomery Scott: So, just to be clear, it sounds like you are paying better than industry rates but they are associated with performance, is that correct?
T. V. Mohandas Pai: I didn’t catch the question. What is that?
Joseph Foresi – Janney Montgomery Scott: It sounds like you are paying better than industry rates, but they are associated with performance, is that correct?
T. V. Mohandas Pai: Absolutely, absolutely. Performance has become more sharply defined. For example, we had the first layer with about 38% to 40%, now it maybe 25%. So, that higher performance will get paid more, but the challenge in this industry is correlating high performance to billing rates and that has not happened We have to come out in the next one or two years to correlate higher payment and higher performance to higher billing rates, and that correlation is something that needs to be addressed for the industry to become more competitive, to become more of a consulting industry where compensation depend upon your billing. We are working on a strategy for that.
Joseph Foresi – Janney Montgomery Scott: Thank you.
Operator: Thank you Mr. Foresi. Our next question is from the line of Rod Bourgeois of Bernstein. Please go ahead.
Rod Bourgeois – Bernstein: Hi guys. I wanted to enquire about the demand outlook over the next year and what’s in your plan? So, your revenue growth guidance is 16% to 18% and assumingly that’s above what most investors were expecting your initial guidance to look like. So, as you set this guidance, can you give us an idea what you are assuming about the discretionary IT services demand environment, particularly in the back half of your fiscal year. You clearly saw an uptick in discretionary services demand in the recent quarter, and I am wondering if you are assuming that, that rebound continues over the course of the fiscal year, or if you are assuming more conservatively that, that moves more sideways from here?
S. Gopalakrishnan: So, if you look at last two quarters, you know, we have grown 6.7% in Q3, 5.2% in Q4, and we have guided for about 3.2% growth in Q1 of this fiscal and 16% to 18% for the year. Discretionary spend is back. This quarter we have won four transformational projects, two of them more than $50 million. We have won five large deals, you know, $50 million plus, two of those deals are $150 million plus. So, our guidance is based on our polling of our customers, the data we have about their budgets, how much they are going to spend with offshore providers like Infosys. So, it’s based on data we have, the model we have created over the years, and the information we have about, you know, how this is going to pan out and things like that. So, that’s what it is based on. And definitely, we believe that the discretionary spending will continue this year.
Rod Bourgeois – Bernstein: Are you assuming it gets better as the year progresses or that it stays roughly at the level that it was when you ended the March quarter when you look at discretionary demand?
S. Gopalakrishnan: So, it depends. You know, right now, we believe that it will become better, confidence will continue to improve, and businesses are starting to do better. So, clearly we believe that it will improve over the year. Now, having said that, you know, the global economy is still not out of the woods and there are concerns about Europe, some countries in the Europe, the concerns about unemployment etcetera. So, it’s a cautious optimism at this point.
Rod Bourgeois – Bernstein: Okay, and when you say you believe it will get better, which I think all of the evidence which suggests that it probably will at this point, are you assuming that it will get better in the guidance that you set, or are you leaving some, call it some buffer in your guidance in the back half of the year in case things move more sideways instead of up?
S. Gopalakrishnan: You know, we have a model for giving guidance and we have followed that model. We have used the data we have and given the guidance. You know, if we look at the guidance this year versus last year, we are in a better place today. We have better visibility, we have had two good quarters. We have our clients confirming that they are going to increase offshore. So, our guidance is based on that. So, last year, we said minus 3% to minus 7% decline, or 3% to 7% decline, this year we are saying 16% to 18%. So, we are in a better position than we were 12 months back and that’s reflected in the guidance. Is there a buffer etcetera, it’s model. We have a model and we use that model and that model has not changed.
Rod Bourgeois – Bernstein: Okay, got it. And then one related question, when you look at the improvement in growth that you have achieved in your systems integration and package implementations segment in particular, can you dimension how much of that improved growth is coming from the market rebounding versus share gains that may be accelerating for you at this point, is it mostly the market rebound that’s helping the growth, or are you seeing more pronounced share gains in recent history there?
Chandra Shekar Kakal: Yes, Kakal here, Chandra Shekar Kakal. If you look at, or if you go back 12 months ago when the downturn started, most of the discretionary spending was held back and the focus was on doing the maintenance support on better in the package implementation space, but that has changed in the last two quarters. So, we have consecutively seen in the last two quarters that easing out uncertainties have eased out, and stability has returned in some sense. It’s a mix of both. If you say market rebounding and clients starting to spend, starting to invest in the business, not just focusing on cutting costs but starting to focus on investing in the business for the future, and also you had gain of the market share from others. So, we have had both in the last quarter to increase our revenue from package implementation and consulting.
Rod Bourgeois – Bernstein: Is your win rate improving in the systems integration and package implementation space or is the win rates based relatively constant in the last couple of quarters?
Chandra Shekar Kakal: In the last couple of quarters, our win rates also have increased, pipeline has become better. Previous to the last two quarters, the pipeline itself was not so good, because the clients were not spending and there were holding back and the programs really – were not really taking off. All that got eased out and clients also started expanding on the current programs. So, the ramp-up of the programs that we had won in the first half of the year and also the new start that’s happened in the second half of the year helped us to really get better revenues in the last quarter.
Rod Bourgeois – Bernstein: Specifically when you say that win rate has improved, does that suggest that you feel like you are gaining share from the traditional firms in those segments at a more rapid rate?
V. Balakrishnan: Most of our transformation program being used against the traditional global SI. We have been getting into the last two or three, in that most of the transformation programs that we participate and we are winning against the global SIs.
Rod Bourgeois – Bernstein: I got it, thanks.
Operator: Thank you Mr. Bourgeois. Our question is from the line of Edward Caso of Wells Fargo. Please go ahead.
Edward Caso – Wells Fargo: Hi, just curious what your CapEx assumption was for FY11 and you know, is this an effort to sort of ramp up the SEZs that you try to rebuild capacity?
V. Balakrishnan: We will spend something like about $240 million this year, again something like about $130 million in 2010. And essentially go towards investment in SEZs. We have no investment in the STPs. All incremental growth will go towards SEZs. The investment in SEZ and capacity into the SCW lead to a lower tax rate we have to see because it normally takes one or two years for the impact to be felt. But we are expanding in the Pune SEZ, we are expanding in the Chennai SEZ, the Hyderabad SEZ, Thiruvananthapuram SEZ, Mangalore SEZ, Mysore SEZ etcetera. So, it’s only SEZ and SEZ where we are investing right now.
Edward Caso – Wells Fargo: Just want to follow-up here on the employee turnover, if we sort of try to convert the number to quarterly annualized to fairly big increase here and you mentioned that it’s really the June quarter which is the historically large quarter. And I understand the re-architecting argument, but is it, are the employees struggling with this new concept, I mean is it a cultural issue where they are just – they are not used to this and you are going to have a turnover remain high for a while as people sort of try to move to this more targeted model.
T. V. Mohandas Pai: Well, you are partially right. We have gone through gut-wrenching change, which we felt it as very essential. It is done in a open consensual manner and everybody signs off till it actually – and I understand what it means. So, we have gone through that. But if we look at quarter four, we had 3,500 people leaving the technology services part of the business, of which 3,000 were people who were not trainees. 500 trainees were not confirmed and they had to leave because they did not get the requisite marks to pass at the end of training. In this quarter, we could see a small uptick up from the previous quarter, because it’s typically the quarter when people leave to do their MBAs or MTechs, and every year we have maybe 2,000 to 2,500 people doing that. That’s why we said that it could be an uptick. For the compensation hike and the fact that we have got so much of exciting promotion mean we believe the second quarter that is the July-August quarter, the attrition rate would come down. In the January-February quarter, we also saw some targeted poaching by some companies to our staff. I mean, they hired some of our people then asked them to talk to their buddies and increase the incentives and there was some targeted poaching, except that they are now feeling the consequence of that, because their own people are asking for more money as they hired laterals at a higher rate. But that is behind us. There is some challenges with high raise, and we have addressed most of it. We set up working groups and working groups have worked out, and when we rolled out this compensation plan, and when the senior leadership spoke to people, they are extremely happy with what we have done. So, I think the change has come about and the change is here and we are prepared for the future. And I do believe after this compensation hike, we have an unfair advantage against competitors.
Edward Caso – Wells Fargo: Have you done any customer satisfaction surveys lately to sort of check to see if this re-architecting may spill over into some challenges on the customer satisfaction side?
T. V. Mohandas Pai: No, I don’t think we have had an impact on CSAT. We do an annual customer satisfaction. So, ours will be, you know, the annual will (inaudible) but we do keep a pulse with our clients. There has not been an impact as a result of the limited attrition that we have had.
Edward Caso – Wells Fargo: Thank you. Congrats.
Operator: Thank you, Mr. Caso. Our next question is from the line of David Grossman of Thomas Weisel. Please go ahead.
David Grossman – Thomas Weisel: Thank you. You know, I got dropped from the call, so I apologize if this was a bit earlier, but I am wondering if you could help me understand the dynamics, you know, among the Top 10 accounts? It looks like, you know, therefore sequentially was lower than the balance of the business and then does that have any relationship to the change in pricing that you saw on the offshore business sequentially which on a constant currency basis, it looked like, you know, that was down sequentially as well?
S. D. Shibulal: So, actually this is seasonal in nature. If you look at our last quarter results, you will see that our Top 10 grew faster than the rest of the company. In this quarter, the Top 10 has declined by 1.2%, which is actually not – it is a very seasonal thing. While that is true, our Top 25 grew faster than the company. The Top 25 grew by 7.6%, while the company grew by 5.2%. So, there is no secular trend. You know, depending on the quarter-to-quarter, either it is a Top 10 which is driving the growth or the Top 25 or the rest of the company.
David Grossman – Thomas Weisel: And in terms of the revenue productivity, Shibu, on the offshore side, was that mix or was there anything in particular driving that down sequentially on a constant currency basis?
S. D. Shibulal: Right, the revenue productivity driving down is surely a pricing issue. It is the tailwind impact of all the pricing renegotiations which we did over the last 18 months. We are no more seeing that kind of pricing renegotiations. There are sporadic renegotiations going on even today, which I will consider as part of our normal business. For the next year guidance, we have assumed the revenue productivity to be flat. One another point, when we started the year, we had predicted a revenue productivity drop of 5% for the year, and we have ended the year with a 4% revenue productivity drop, which is better than what we expected in the beginning of the year.
David Grossman – Thomas Weisel: Okay. So, should we assume the revenue productivity that we are seeing, you know, on the offshore site to be relatively flat with the fourth quarter down, so the adjustments that came in the March quarter then would persist into next year, so the $54,900 on the offshore site would be a good number to use for next year?
S. D. Shibulal: Yes, so in the blended level, I would expect it to persist through the year. There may be some marginal difference between onsite and offshore revenue productivity depending on the kind of service mix. For example, if our transformational work goes up and maybe the offshore revenue productivity will go up a little bit, but from a blended revenue productivity perspective, at this point in time, we are expecting that the revenue productivity will remain flat through the next fiscal year. That is the assumption we have made for guidance.
David Grossman – Thomas Weisel: Okay. And then, you know, Mohan, you talked about, you know the changes in the compensation and the workforce and some of your policies on promotions, is there any reason to think that you know, we would depart from annual kind of wage hikes which have been historical factors with the exception of last year, which was an anomaly, or do you think we maybe you know, kind of faced with compensation increases that may happen more than once during the course of the fiscal year.
T. V. Mohandas Pai: David, I think annual compensation is here to stay. There is no move anywhere in the industry for a half yearly or whatever it is. Annual is here to say. We must remember that last year was a very tough year, and people have to adjust with the new paradigm in the industry. So, annual is here to say, but you will have differential comp across the industry that will impact different companies in very different ways depending upon the ability to pay, depending upon what rates they charge and come on in the marketplace, and I do believe it will be a bulwark against some large companies trying to commoditize the services. So, I think you know what is happening is a very good thing, but it will be annual as part of the C.
David Grossman – Thomas Weisel: Okay. And then, just lastly on currency, in terms of the structure of the contracts that have been signed over the last 12 months, is there any trend or propensity to share some of the FX volatility with the customers or are you still bearing the majority of the fluctuations in currency on the new deals?
V. Balakrishnan: Well, it’s Bala here. We don’t try that because the cross currency volatility is too high now. In some of the contracts, we have clauses to protect us for a moment of plus or minus 5% on the currency front, but not all customers agree to it, because currency is something which we have to manage. So, we do try that wherever clients agree, we try to incorporate that. But most of the clients wants us to take the currency rate.
David Grossman – Thomas Weisel: Okay. Great, thank you.
Operator: Thank you Mr. Grossman. Our next question is from the line of Bhavan Suri of William Blair & Company. Please go ahead.
Bhavan Suri – William Blair & Company: Hi guys, nice quarter. Just a couple of quick housekeeping questions here. Out of the 47 new accounts, how many were in financial services and if you could break down the manufacturing and retail numbers, too?
T. V. Mohandas Pai: Out of the 47 in financial services, 14, excuse me on financial services.
S. Gopalakrishnan: And in Europe.
Bhavan Suri – William Blair & Company: All right, great. And then, just you know, I think someone was alluding to this early, but I am just trying to understand this, with the increase in discretionary spend, especially package implementation, are you seeing folks come back and actually start doing, you know, SAP, Oracle package implementations. What sort of work is that in sort of, you know, is that larger scale stuff or is larger scale stuff still to happen and this is more like upgrades and sort of adding bells and whistles and modules, how should we think of that?
Chandra Shekar Kakal: Yes, when we talk of package implementation and business transformation kind of program and all that, it is mostly the global rollout kind of unfinished agenda of large global corporations where they have enterprise licenses available with them and have not really rolled it out completely to the entire organization. Not all the modules, not to all the subsidiaries, not to all the geographies, the rollout is happening now. It’s also the instant consolidation kind of work where they had maybe 25 different decisions in the past, they are trying to consolidate into maybe one or two or three instances. Upgrades have started appearing in certain areas like in PeopleSoft, we are seeing quite a few upgrades happening. In other areas, they did so much. It is a combination of all of these to keep driving growth now in SAP and Oracle.
Bhavan Suri – William Blair & Company: Got it. And then just trying to, one of your large deals, I just saw the announcement with Microsoft regarding sort of management of their internal IT systems, could you provide a little more color around sort of how big that is and sort of just, sort of box it for us a little more?
B. G. Srinivas: Hello, this is B. G. Srinivas. The size of the deal specifically is it’s more than $150 million over three years. This is a deal which in partnership with Unisys, we are managing their entire IT infrastructure and this is over a period of three years, the deal. The scope of engagement would also mean that we will work on their products suite both in terms of service delivery and manage their IT services worldwide. This also includes streamlining their processes, simplifying support service, while at the same time, we are lowering the enterprise cost through the use of the latest Microsoft solutions, which also includes Windows 7.
Bhavan Suri – William Blair & Company: Great, great. And I guess when you look at these deals, the PeopleSoft upgrades and everything else, you know, you described that win rates had gone up against the global SIs. But have you seen win rates go up against the other offshore players as well or are you sort of seeing increased win rates against the TCS and the Wipros of the world?
S. Gopalakrishnan: In most large transformation deals, we do not encounter too many offshore players, and that is more we compete with the global SIs and in Europe, more the local large European players.
Bhavan Suri – William Blair & Company: Yes, that’s right.
S. Gopalakrishnan: So, we have very less occasions there we take offshore players head-on in transformation deals.
Bhavan Suri – William Blair & Company: Great. That’s all my questions. Thanks for taking my call guys. Good quarter.
Operator: Thank you Mr. Suri. Ladies and gentlemen, due to time constraints, that was the last question. I now hand the conference over to Mr. Sandeep Mahindroo for closing comments.
Sandeep Mahindroo: Thanks everyone for joining us on this call. I would now like to pass it on back to Bangalore for any closing comments from there.
S. Gopalakrishnan: So, thank you everyone. I really appreciate your participation on this call. You can contact us during the quarter through Sandeep Mahindroo or Shekar Narayanan in India, and we look forward to further interactions with you during the quarter. Thank you very much again for participation.
Operator: Thank you Mr. Mahindroo. Thank you gentlemen of the management. Ladies and gentlemen, on behalf of Infosys Technologies Limited, that concludes this conference call. Thank you for joining us on the Chorus Call Conferencing Service and you may now disconnect your lines. Thank you.